Operator: Good day, and welcome to Century Casinos' Q4 and Year End 2012 Earnings Conference Call. [Operator Instructions] I would like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin. 
Peter Hoetzinger: Thank you, Clint. I'm happy to have all of you join us for this call following the release of our fourth quarter and full year 2012 earnings a couple of hours ago. We are, as usual, Erwin Haitzmann, Co-CEO and Chairman of the company; and Margaret Stapleton, Executive Vice President of Finance. Following our prepared remarks, we will then jump over the call to your questions.
 Before we begin, I need to remind you that in our remarks today we will be discussing forward-looking information which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and we encourage you to review these filings.
 In addition, throughout our call, we may refer to several non-GAAP financial measures, including but not limited to adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-K and 10-Q filings, all of which are available in the Investor section of our website at cnty.com.
 During 2012, we made significant progress with the implementation of our strategy to increase shareholder value and improve our financial flexibility. We executed this strategy against the backdrop of ongoing uncertainty in the macroeconomic picture and consumer weakness in pretty much all markets we operate in.
 The recovery of the gaming industry has been protracted and rather difficult, but despite these challenges we've acted aggressively to improve our performance and position our company for further growth.
 In the fourth quarter, we've managed to increase net operating revenues by 1% and net earnings by 6% compared to the fourth quarter of 2011. But as business levels softened in the latter part of the year, adjusted EBITDA fell 9% in the year-over-year comparison.
 Our Century Casino and Hotel, Edmonton in Canada again led all properties with excellent results and an EBITDA margin of 33%. We also continued to strengthen our balance sheet, which as of December 31, 2012, showed 24.8 million in cash and cash equivalents and only 3.6 million in debt obligations for a net cash position of 21.2 million with net cash of $0.88 per share and an increase of 32% compared to the net cash position at the same time a year ago.
 That strong balance sheet together with our 27 million in credit agreement with Bank of Montreal puts us in a great position to continue the pursuit of new development and the acquisition opportunities in the regulated market worldwide.
 Total cash CapEx in the quarter was 1.2 million or approximately 6.5% of revenues, but mainly on projects such as the refurbishment of hotel rooms in Cripple Creek, improvements to the Calgary property and gaming equipment for ship casinos.
 Book value per share as of December 31 was $4.89, but we believe the most exciting news may have been today is the pending acquisition of the 2/3 majority of Casinos Poland Limited. We have received the approvals from the other shareholder as well as from the Ministry of Finance and are just a few administrative steps away from closing which we expect around mid-April.
 With the closing of this deal, we intend to consolidate Casinos Poland with our 2012 financials and based on the 2012 results, this will increase our reported revenues, EBITDA and net earnings significantly.
 With that, I will now quickly highlight the quarter results of each individual property. Our largest casino, the Century Casino and Hotel, Edmonton in Canada which now has grown to 758 gaming machines and 35 gaming tables is our strong performance. Revenue is up 3% and EBITDA was up 6% year-over-year, mostly driven by 17% increase in cash drop at the gaming tables.
 It seems that our focus on Asian VIP play, supported by themed events, concerts and buffets is paying off very well. Hotel and F&B revenues were also up nicely, 9% and 2% respectively. This probably accounted for 37% of the company's total revenues which we exclude Casinos Poland. Including Casinos Poland, company share of total revenues would be 21%.
 The Players Cup, the Loyalty Program grows steadily and we continue to market the showroom with live entertainment, events, concerts and various catering functions to drive traffic to the casino.
 In Calgary, revenues declined 7% because of lower slot coining and the lower table hold percentage. EBITDA which was negative in Q3 turned to a positive $150,000. Obviously that's still not satisfying, but business volumes were not too bad, a table drop of 10% quarter-over-quarter.
 We've added another Easy Baccarat table to capitalize on the increased Baccarat action. We're making good progress on the non-gaming revenue generated as well, bowling up 20% and 1,100-seat showroom around third-party events only with no financial risks to us.
 Moving now to Colorado, our Century Casino and Hotel in Central City had a mixed quarter. Slot coining was up 4% but table top declined 8% leading to a modest overall 1% increase in revenues and the reduction in EBITDA.
 In Cripple Creek, revenues as well as EBITDA declined 6% each as we saw the same pattern as in Central City with slot coining up but table top down significantly. Our other gaming market remains very competitive with heavy promotional activities and expansive media and marketing. We continue to focus on VIP player development and consistent daily promotions.
 Our current marketing and promotions strategy focuses strongly on casino weekend promotions when customer volumes are highest as well as on food and retail offers. The 14 casinos we operate and manage on cruise ships and in Aruba saw revenues declined 2%.
 With 620 slots and 70 gaming tables, this segment of our operations currently generates 10% of the company's revenues. That percentage will go down to about 6% once Casinos Poland is consolidated, but we believe we can add a few more ship casinos in the near future to solidify our position as the leader in the cruise ship casino market.
 Last but not the least let me give you an update on the performance of Casinos Poland. Revenues in the quarter increased by 12% compared to the fourth quarter of 2011, mainly driven by strong performance of the casino at the Marriott Hotel in the capital city of Warsaw, by the newly opened locations in Lodz, Krakow and Poznan are still in the ramp-up phase. The Casinos Poland brand is exceptionally strong as demonstrated by market share that consistently has been between 40% and 50% in recent years.
 With the pending closing of transition that gives us 2/3 ownership position in Casinos Poland Limited, we are very excited about the opportunities lying ahead, especially in terms of creating high operating efficiencies and improving operating margins.
 For the year 2012, Casinos Poland generated approximately $44 million in revenues and approximately $4.6 million in EBITDA. Using these numbers, the price we paid for the additional 33% comes out to approximately 0.5x revenue or 4.5x EBITDA. That is quite a directive and along the lines of other great things we are striving after.
 As I'm sure you gather from this property by property summary, the year 2012 reflected the benefits of diversification as we produced solid results on a consolidated basis while facing some discrete challenges with a couple of properties. And when completed, we expect the Casinos Poland transaction to provide accretive growth as well as additional diversity to its volatility of operating results.
 In 2012, as a result of focusing on right-sizing our business, engaging our customers and employees, focusing on generating free cash flow and revenue and renewing our assets yet become a stronger, cleaner and leaner company. We've invested in our properties in order to remain competitive and to expand the property life sizes and we've been prudently active on the M&A front as well.
 Century Casinos will continue to pursue accretive acquisitions and development projects in any regulated casino markets worldwide that meet or exceed our return investment hurdles and are within our recent tolerance. We are investigating opportunities around the globe, including Europe, North America and Southeast Asia. Going forward, we will try to pursue projects with projected EBITDA returns in excess of 20% on investment.
 As the company's largest shareholders, this management team naturally has a vested interest in pursuing only those projects that will maximize shareholder returns in the long run while at the same time adding value to the low communities through responsible operations and employment creation. Your interest and our interest are aligned.
 Casinos Poland acquisition will transform our company by increasing scale, diversity and opening up good opportunities in the future. We believe we have the strong financial profile, room for further operation and improvements and a bright future ahead. In conclusion, we're excited about 2013 and the path we've laid out for our company.
 With that, I thank you for your attention and open the floor to questions. Clint, go ahead please. 
Operator: [Operator Instructions] We'll take our first question from Chris Armbruster with B. Riley & Company. 
Chris Armbruster: Are you planning on filing updated pro forma financials after Casinos Poland the acquisition closes or are you going to wait until your next quarter to put all that into print? 
Peter Hoetzinger: Peggy, can you follow on that? 
Margaret Stapleton: We will wait until next quarter to put that into print. We are not required by the SEC to file an 8-K with the financials for this year. 
Chris Armbruster: Okay, fair enough. And then as far as Calgary goes, what do you think is a reasonable estimate for the pace of change there? I know the casinos had its ups and downs and struggled a little bit with profitability consistently. But should fiscal '13 be the quarter that we expect -- the year that we expect the casino to kind of move back to profitability on a 4-year basis or is that further out? 
Erwin Haitzmann: Hi, this is Erwin. We expect 2013 to be the turnaround year. 
Chris Armbruster: Okay. And then do you have any additional updates on the Racino project in Calgary that you guys are working on? 
Erwin Haitzmann: No, there's no updates. We're still checking various things and also have to consider some issues that has to do with the applicant company, the United Horsemen of Alberta, Inc. in past liability issues and we have not started any kind of serious development or construction. 
Chris Armbruster: Okay. And just one more on the additional acquisitions that you guys are looking at, is the Casinos Poland integration going to take a lot of time, is it something you're going to be focused on this year or is there room to potentially announce or close another acquisition in fiscal '13? 
Peter Hoetzinger: I did not understand the last part of your sentence please. 
Chris Armbruster: I'm just wondering if the transaction with Casinos Poland, if that's going to be kind of the thing that you're focusing on this year or are you -- obviously its opportunity driven, but are you expecting that there's going to be another acquisition or something that happens in fiscal '13? 
Peter Hoetzinger: I see what you mean. We are right in the middle of focusing on Poland from an operation perspective already, but it's not necessarily the only thing we look at in 2013, if we're looking at various opportunities now and its opportunity driven to an extent. 
Operator: [Operator Instructions] We'll go next to the site of Russ Silvestri with SKIRITAI. 
 Russell Silvestri: My question was related to Poland and the leases in the real estate and how that's secured, and how do you pay for it? Is it all percentage of win or how was that tied up? 
Peter Hoetzinger: In most cases, we simply pay a straight rent to the property owners, so that's not percentages of revenue or profit. It's a fixed rent based on market terms. 
 Russell Silvestri: And are the rents fixed for a certain period of time? 
Peter Hoetzinger: Yes. 
 Russell Silvestri: Could you elaborate? Is that like a 3-year, a 5-year, 1-year period? 
Peter Hoetzinger: Typically, it's a fixed year period. 
 Russell Silvestri: Okay. And I would assume, since you’re just starting, it would be 6 years going forward from here? 
Peter Hoetzinger: Not -- depending on when we -- the most recent amendment probably anywhere between 4 and 5 years from now going forward. 
 Russell Silvestri: Okay, great. And then since the situation on the cruise ship that happened off the coast of United States, have you noticed much decline in the number of passengers going on ships or has it stayed relatively stable? 
Peter Hoetzinger: No, it's very stable. We are mostly on the smaller lines and they're enjoying a very good year. 
Operator: We have no additional questions at this time. 
Peter Hoetzinger: Thank you everybody for your interest in Century Casinos and your participation in the call. 
Operator: We did have a question queue up if you'd like? It's from the site of Corey Yeap with Wells Capital. 
Corey Yeap: Were any of your properties negatively affected by weather? 
Erwin Haitzmann: This is Erwin. Just a little bit. Colorado, South, a little, and so did Calgary and Edmonton in the last weeks every now and then we had a weekend which was impacted. But I would say that within the regular weather pattern, we had something like that every year. I think totally out of the ordinary. 
Operator: We have no additional questions. 
Peter Hoetzinger: Great. Thanks, again, everybody. For recording of the call, please visit the Financial Results section of our website at cnty.com. Thank you for your participation. 
Operator: This concludes today's conference call. Thank you for attending. You may disconnect at any time.